Operator: Good afternoon ladies and gentlemen, and thank you for standing by. Welcome to the Emerson's Fourth Quarter and Fiscal Year 2008 Results Conference Call. At this time all participants are in a listen-only mode. Following today's presentation, instructions will be given for the question-and-answer session. [Operator Instructions]. As a reminder, today's conference is being recorded November 4th of 2008. Emerson's commentary and responses to your questions may contain forward-looking statements including the company's outlook for the remainder of the year. Information on factors that could cause actual results to vary materially from those discussed today is available in Emerson's most recent annual report on Form 10-K as filed with the SEC. In this call, Emerson's management will discuss some non-GAAP measures and talking about the company's performance, and a reconciliation of those measures to the most comparable GAAP measures is contained within a presentation and is posted in the Investor Relations area of Emerson's website at www.emerson.com. At this time I would now like to turn our presentation over to your host of the conference Director of Investor Relations, Lynne Maxeiner. Please go ahead ma'am.
Lynne Maxeiner - Director of Investor Relations: Thank you, Andrew. I am joined today by David Farr, Chairman, Chief Executive Officer and President of Emerson; and Walter Galvin, Senior Executive Vice President and Chief Financial Officer. Today's call will summarize Emerson's fourth quarter and fiscal year 2008 results. A conference call slide presentation will accompany my comments and is available in the Investor Relation section of Emerson's corporate website. A replay of this conference call and slide presentation will be available on the website after the call for the next three months. I will start with the highlights of the quarter as shown on page two of the conference call slide presentation. Fourth quarter sales were up 11% to $6.7 billion with increases in four our of five business segments. Strong underlying sales growths of 7% led by process management, network power, and industrial automation. Operating profit margin improve 70 basis points to 17.5% of sales, and earnings per share from continuing operations in the quarter was $0.88, up 13%. Operating cash flow of $1.295 billion and free cash flow of $1.042 billion in the quarter. Operational efficiency initiative continue and the balance sheet is strong as evidence by a trade working capital as a percent of sales, improving to 15.9% from 16.2%, and operating cash flow to total debt strong at 73%. On the next slide the fourth quarter P&L. Sales in the quarter of $6.696 billion, up 11%. We'd underlying sales growth of 7%, currency added two points, and acquisitions net of divestitures added two points of growth. Operating profits dollars in the quarter were $1.174 billion or 17.5% of sales. Good margin improvement of 70 basis points driven by cost containment programs, volume leverage, and favorable business mix. Net earnings from continuing operations were $690 million up 11%. We repurchased 8.6 million shares for $398 million in the quarter. Diluted shares outstanding were 781.4 million, which get you to an EPS from continuing operations of $0.88, again up 13%. Reported EPS was also $0.88 in the quarter. The sale of the European appliance, motor and pump business was closed in the quarter on September 30th. The next slide underlying sales by geography. In Q4 the United States was up 1%, good international growth up 13% which strength from Asia, which was up 17%, Latin America up 25%, and Middle-East Africa up 14%. That gets into a total underlying sales number of plus 7%, currency added two points and acquisitions net of divestitures added two point, bringing you to the total of plus 11% for the quarter. For fiscal year 2008, the U.S was up 3%, and total international was up 10%. Again which strength from Asia up 17%. Middle-East Africa up 17%, and Latin America up 18%. Total underlying sales of plus 7%, currency adding four points in acquisitions net of divestitures adding one point, bringing you to the total of plus 12% for the fiscal year. Next on page five, income statement detail. Gross profit dollars of $2.474 billion or 37% of sales. SG&A as a percent of sales of 19.5% as we leverage the growth. Getting you to the OP of $1.174 billion or 17.5% of sale. Other deductions net was $133 million the increase driven by $22 million increase related to restructuring and $22 million charge related to the appliance control business. Interest expense of 41 million getting you to the pretax line of 1 billion or 14.9% of sales. Tax rate in the quarter was 31% bringing the full year rate to 31.7% in line with prior guidance. Page six, restructuring. Emerson restructures continuously throughout the business cycle with restructuring programs supporting geographic expansion and best cost country programs. We've accelerated restructuring throughout '08 as 2009 economy looked tougher. Page seven, operating cash flow and balance sheet detail. Operating cash flow of $1.295 billion increased 4% driven by increased earning. Capital expenditures of $253 million get you to a free cash flow of $1.042 billion. Free cash flow was 151% of net earnings in the quarter. The strong balance sheet with 72.9% cash flow to total debt. Trade working capital balances at the bottom of the page with the ratio of trade working capital as a percent of sales of 15.9%, a 30 basis point improvement from the prior year quarter. Next page reviews our liquidity position, which remains strong and flexible. We had have continued access to the commercial paper markets, high short-term credit rating A1/P1 and we've been able to place paper with 30 day duration or longer at normal Emerson rate. We have $2.8 billion backup credit line, which expires Gross profit dollars of 2.474 billion or 37% of sales. SG&A as 1% of sales was 19.5% as we leveraged the growth. Getting you to gets you to the OP of 1.174 billion or 17.5% of sales. Other deduction net was 133 million the increase driven by a $22 million increase related to restructuring and a 22 million charge related to the appliance control business. Interest expense of 41 million getting you to the pre-tax line of 1 billion or 14.9 of sales. Tax rate in the quarter was 31% bring the full year rate to 31.7% in line with prior guidance. Page 6, restructuring, amortized structures continuously throughout the business cycle with restructuring programs supporting geographic expansion and that cost of country program. We've accelerated restructuring throughout '08 as 2009 economy looked tougher. Page seven, operating cash flow and balance sheet detail. Operating cash flow of 1.295 billion increased 4% driven by increased earning. Capital expenditures of 253 million get you to a free cash flow of 1.042 billion. Free cash flow was a 151% of net earnings in the quarter. The strong balance sheet with 72.9% cash flow to total debt. Trade working capital balances at the bottom of the page with the ratio of trade working capital as a percent of sales of 15.9%, a 30 basis point improvement from the prior year quarter. Next page reviews our liquidity possession which remains strong and flexible. We had have continue access to the commercial paper market, high short-term credit read in A1 P1 and we've been able to price paper with 30 day durational longer at normal emersion rate. We have a 2.8 billion back up credit line which expires Gross profit dollars of 2.474 billion or 37% of sales. SG&A as 1% of sales was 19.5% as we leveraged the growth. Getting you to gets you to the OP of 1.174 billion or 17.5% of sales. Other deduction net was 133 million the increase driven by a $22 million increase related to restructuring and a 22 million charge related to the appliance control business. Interest expense of 41 million getting you to the pre-tax line of 1 billion or 14.9 of sales. Tax rate in the quarter was 31% bring the full year rate to 31.7% in line with prior guidance. Page 6, restructuring, amortized structures continuously throughout the business cycle with restructuring programs supporting geographic expansion and that cost of country program. We've accelerated restructuring throughout '08 as 2009 economy looked tougher. Page seven, operating cash flow and balance sheet detail. Operating cash flow of 1.295 billion increased 4% driven by increased earning. Capital expenditures of 253 million get you to a free cash flow of 1.042 billion. Free cash flow was a 151% of net earnings in the quarter. The strong balance sheet with 72.9% cash flow to total debt. Trade working capital balances at the bottom of the page with the ratio of trade working capital as a percent of sales of 15.9%, a 30 basis point improvement from the prior year quarter. Next page reviews our liquidity possession which remains strong and flexible. We had have continue access to the commercial paper market, high short-term credit read in A1 P1 and we've been able to price paper with 30 day durational longer at normal emersion rate. We have a 2.8 billion back up credit line which expires Gross profit dollars of 2.474 billion or 37% of sales. SG&A as 1% of sales was 19.5% as we leveraged the growth. Getting you to gets you to the OP of 1.174 billion or 17.5% of sales. Other deduction net was 133 million the increase driven by a $22 million increase related to restructuring and a 22 million charge related to the appliance control business. Interest expense of 41 million getting you to the pre-tax line of 1 billion or 14.9 of sales. Tax rate in the quarter was 31% bring the full year rate to 31.7% in line with prior guidance. Page 6, restructuring, amortized structures continuously throughout the business cycle with restructuring programs supporting geographic expansion and that cost of country program. We've accelerated restructuring throughout '08 as 2009 economy looked tougher. Page seven, operating cash flow and balance sheet detail. Operating cash flow of 1.295 billion increased 4% driven by increased earning. Capital expenditures of 253 million get you to a free cash flow of 1.042 billion. Free cash flow was a 151% of net earnings in the quarter. The strong balance sheet with 72.9% cash flow to total debt. Trade working capital balances at the bottom of the page with the ratio of trade working capital as a percent of sales of 15.9%, a 30 basis point improvement from the prior year quarter. Next page reviews our liquidity possession which remains strong and flexible. We had have continue access to the commercial paper market, high short-term credit read in A1 P1 and we've been able to price paper with 30 day durational longer at normal emersion rate. We have a 2.8 billion back up credit line which expires Gross profit dollars of 2.474 billion or 37% of sales. SG&A as 1% of sales was 19.5% as we leveraged the growth. Getting you to gets you to the OP of 1.174 billion or 17.5% of sales. Other deduction net was 133 million the increase driven by a $22 million increase related to restructuring and a 22 million charge related to the appliance control business. Interest expense of 41 million getting you to the pre-tax line of 1 billion or 14.9 of sales. Tax rate in the quarter was 31% bring the full year rate to 31.7% in line with prior guidance. Page 6, restructuring, amortized structures continuously throughout the business cycle with restructuring programs supporting geographic expansion and that cost of country program. We've accelerated restructuring throughout '08 as 2009 economy looked tougher. Page seven, operating cash flow and balance sheet detail. Operating cash flow of 1.295 billion increased 4% driven by increased earning. Capital expenditures of 253 million get you to a free cash flow of 1.042 billion. Free cash flow was a 151% of net earnings in the quarter. The strong balance sheet with 72.9% cash flow to total debt. Trade working capital balances at the bottom of the page with the ratio of trade working capital as a percent of sales of 15.9%, a 30 basis point improvement from the prior year quarter. Next page reviews our liquidity possession which remains strong and flexible. We had have continue access to the commercial paper market, high short-term credit read in A1 P1 and we've been able to price paper with 30 day durational longer at normal emersion rate. We have a 2.8 billion back up credit line which expires Gross profit dollars of 2.474 billion or 37% of sales. SG&A as 1% of sales was 19.5% as we leveraged the growth. Getting you to gets you to the OP of 1.174 billion or 17.5% of sales. Other deduction net was 133 million the increase driven by a $22 million increase related to restructuring and a 22 million charge related to the appliance control business. Interest expense of 41 million getting you to the pre-tax line of 1 billion or 14.9 of sales. Tax rate in the quarter was 31% bring the full year rate to 31.7% in line with prior guidance. Page 6, restructuring, amortized structures continuously throughout the business cycle with restructuring programs supporting geographic expansion and that cost of country program. We've accelerated restructuring throughout '08 as 2009 economy looked tougher. Page seven, operating cash flow and balance sheet detail. Operating cash flow of 1.295 billion increased 4% driven by increased earning. Capital expenditures of 253 million get you to a free cash flow of 1.042 billion. Free cash flow was a 151% of net earnings in the quarter. The strong balance sheet with 72.9% cash flow to total debt. Trade working capital balances at the bottom of the page with the ratio of trade working capital as a percent of sales of 15.9%, a 30 basis point improvement from the prior year quarter. Next page reviews our liquidity possession which remains strong and flexible. We had have continue access to the commercial paper market, high short-term credit read in A1 P1 and we've been able to price paper with 30 day durational longer at normal emersion rate. We have a 2.8 billion back up credit line, which expires April 2011 that has never been drawn against. At the bottom of the page, you'll see we have strong operating cash flow to debt ratio. Our cash position is in excess of our short term debt, and we have nice debt ladder going on several years. Next slide, the business segment P&L. This is a segment EBIT of $1.06 billion up 6%. The segment EBIT was impacted by $22 million restructuring increase and $22 million appliance control business impairment charge, as well ass the dilutive impact from acquisition. Difference in accounting methods up $60 million, corporate and other in the quarter was $105 million down 19 million driven by lower incentive share expense. Interest expense up $41 million in the quarter, which gets you to the pretax line of $1 billion up 11 %. On slide 10, we'll review individual business segment starting with process management. A very strong quarter with sales up $1.888 billion an increase of 13% Underlying sales were up 12% with currency adding two points and a divestiture net of an acquisition subtracting one point. By region you have the U.S up 9%, Asia up 23%, Europe up 8%, and Middle-East Africa up 5%. EBIT dollars in the quarter up $416 million or 22% of sales. We had good margin expansion in the quarter driven by cost reduction programs and sales volume leverage. For the full year process management delivered another exceptional year with sales up 17% and EBITDA up 23%. We have not seen an increased level of project cancellations. Longer cycle projects and process management still provide favorable business outlook as we enter fiscal year 2009. Next slide, industry automation, sales of $1.28 billion an increased of 4%.... 14%. Underlying sales ware up 9% and currency added five points. By region the U.S was up 11%, Europe up 4%, Asia up 22%. We continue to see good growth driven by the power generating alternative business and also the fluid automation and materials joining businesses. EBIT in the quarter of $199 million or 15.6% of sales with sales volume leverage and pricing more then offset by material inflation, as well as an increased level of restructuring. Fiscal year 2008 was the best consecutive year of double-digit sales increases for industry automation with underlying sales growth up 7%. The 2009 demand is expected to flow due to flowing global growth fixed investment and tougher comparisons. Next slide, network power. Sales in the quarter of $1.714 billion, an increase of 19% Underlying sales were up 9%. Acquisition added eight points and currency added two points. By region the U.S was flat, Asia was up 19% and Europe was up 2%. EBIT dollars up $215 million or 12.6% of sales. Acquisitions had a dilutive impact in the quarter of approximately 150 basis points. In 2008, we've continued the expansion of our served market through strategic acquisition such as Aperture. As we enter '09, moderating demand is expected as global growth fixed investment weakens as '09 progresses. Next slide, climate technologies. Sales here up $1.013 billion, up 8%. Underlying sales were up 5% and currency added three points. By geography, we have the U.S up 3%, Europe up 13%, and Asia down 3%. Europe growth was driven by the increase in heat pump compressor sales, which had an easier comparison to the fourth quarter of '07 European sales. EBIT dollars in the quarter were $138 million or 13.6% of sales. Price increases were more than offset by material inflation and we increased restructuring ahead of a challenging '09. The geographic diversity of this business continues to improve in '08 with 45% of the fiscal year '08 sales from outside the U.S. Weak residential markets are expected to continue throughout '09. Next slide, appliance and tools. Sales in the quarter up $975 million down 4%. Underlying sales were down 3%, a divestures subtracted two points and currency added a point. By region the U.S was down 6%, Europe down 4%, and Asia up 26%. EBIT dollars of $118 million or 12.1% of sales. There was $22 million charge in the appliance controls business in the quarter that had a dilutive impact of approximately 230 basis points. The decision was made not to sell the appliance control business, but to create shareholder value by integrating this business with the appliance motors business. Cost reduction programs and pricing were more than offset by material inflation and volume deleverage in the quarter. In 2008, we improve the mix of businesses and appliance and tool segment to divestitures and restructuring of the businesses. And excluding the impact of the charges related to the appliance control business EBIT margins expanded in 2008 in a difficult market environment. We expect market conditions to remain very challenging in 2009. So with that I will turn it over to David Farr.
David N. Farr - Chairman, Chief Executive Officer and President: Thank you very much Lynne. I want to welcome everybody here this afternoon, I appreciate it. We've just finished a two day strategy session with our Board, bringing up-to-date on close of 2008, and then also what we see happening in 2009. First of all, I want to thank all the 140,000 employees around the world who really delivered a strong performance in 2008, it was a record setting year on a many fronts. And that's on top of a tremendous five year time period. And our people out there, they're saying that the fourth quarter was weak, our fourth quarter was extremely strong, a very solid close, high quality earnings, high quality cash flow, and really a tremendous finished to our fantastic 2008. If you look at our sales levels underlying sales growth of 7% this year, 8% in the last five years. We returned to record setting OP margins of 16.5%, which we told people we'll get to in this cycle and we've gotten there. And we've actually had a tremendous growth in earnings per share, the last five years averaging 19 plus percent, with this year 17% or $3.11. And historical high ROTC of 21.8%, which is a tremendous performance relative to the profitability on cash flow of this corporation. And cash flow for eight year in a row free cash flow exceeded our net income, free cash flow of $2.6 billion representing 10.4% of sales. And if you look at the last five years, we have sales that increase $11 billion, operating profit of $2.1 billion. Employees around the world of Emerson have executed and execute well for our shareholders, and had a tremendous fourth quarter up and down the P&L. And on top of that with the Board has decided today to raise the dividend 10%. We're working our 53rd year of dividend increase we can't say for sure until we do it quarter-by-quarter, but we are one of the few companies have increased dividend 53 years in a row and we're proud of that and the cash flow companies [ph] supports that. If you look at what's going on in the environment right now. We've had a tremendous year and as you look at the last three or four month, it's gotten tougher and tougher, more challenging, and we still deliver great results. And I'd say that as we look at the last 60 days, it's been highly unusual with the financial crisis, with the bailout, with the consumers within the United States and around the world facing loss of market value, wealth, jobs, and uncertainty. And the governments within United States around the world, just the United States government bailing, putting it over $700 billion more likely going to $1 trillion, maybe $2 trillion to support what's going on from the excesses that we have seen in the U.S and around the world for the last couple of years. So we've had tremendous performance, up and down the P&L 2008. We are leaving this year very strong and feel very good about it. We have the strength both from our financial standpoint and a global footprint standpoint to deal with the issues that will be coming at us. And we will be highly flexible this year, because no one knows for sure what's going to come. But, if we look at our current economic models our indicators, they're also running negative. Our employees, our customers, are all telling us that we are facing uncertain times around the world at this point in time, very unclear. It will take time in my opinion for us to have a certainty in what we're facing. But, if you look at what's going on with the financial crisis and the pullback and spending. Just look at Emerson. Back in August, September, October, telling we're going to spend somewhere around $750 million for capital for 2008. We ended up at $714. We'll be telling you that we're going to potentially taking that down to $680 million next year based on what happens in the economy. When what happens to the economy is a little bit uncertain, but we will be flexible in that regard. As we look at our business, you look at our emerging market business is still very good. If you look at what we see today with our key markets here in the U.S, Europe, and the other G-7. They have turned to slightly negative. In my opinion the U.S economy is in recession or very close to recession, Europe is right they are coming behind us, Japan is right there too, so we are looking at situation where the material markets are facing in my opinion [ph] is certain recession and the emerging markets are holding up okay, and they will weaken, but still doing our growth for us as we look at 2009. As you go forward and look at what we have is our assessment for 2009, and we look at what I say the uncertain and challenging global economics in 2009. It's very unusual for us to look at and give you this type of level forecast this year early, but I felt and discussing with the Board for the last couple of days that we should tell you what we see is a range of issues and opportunities that we will be facing in 2009. Again it's uncertain, it's not positive, the trends are heading down. Our forecast and sales, somewhere between $23.5 billion $25.5 billion in sales. Operating margin of 16% to 16.6%. Key underlying issues here will be underlying sales growth of other plus 4% and minus 4%. Currency is negative right now if you look at the €128, we will lose approximately $1.1 billion of sales of the top line. And probably at a ratable margins somewhere on the 15% or 16% based on mix of these sales. We will complete acquisitions, we are assuming some acquisitions they are helping our growth of about 4%, and we are adding restructuring somewhere between $125 million and $150 million in 2009. We've already increased the number of restructuring opportunities within the company in the last 30 days and we'll keep focusing hard to this and dealing with the changing environment that comes out. Our pension expense will be neutral next year, now big issue. However, we will be funding our pension plan approximately $200 million, which is build into our operating cash flow forecast of somewhere between $3.3 billion and $3.5 billion. Our EPS will range somewhere between $2.80 to $3.20. And as I said earlier our capital expenditure will be 680 to 725. If you look at the macro economic that we see at this point in time and the trends that are happening it's quite broad, but clear to me U.S non-residential will be trending negatively somewhere in the negative 3% to negative 5% after a several years to being positive. U.S residential remain highly negative down 15% to down 20%. Europe's GFI will be somewhere between plus 2 and minus 1, and Japan will be somewhere between plus 1 and minus 1. China will still be positive, China has made it... has decided to invest in the infrastructure of the economy and they will be putting money into the economy keep it going. We look at the GFI somewhere in the 10% to 12% growth range and India 8% to 12% and Latin America somewhere to 5% to 7%. Overall, a much more challenging economic environment then we have faced the last couple of years. But, you should know the management team is ready for this, we've been working on this, very diligently the last 30, 60 days. We had our top 400 people inside Emerson, and inside St. Louis about two weeks ago for 2.5 days talking about it, I was in Latin America last week. We will be in Asia in about a couple of weeks and then in Europe as we talk about what we see happening in the environment and how we will react when things change. I will also tell you that it is very uncertain. We will not know clearly my opinion into somewhere in March or April and what we really are facing in this global economy. We will update our view of this in February when we have our Analyst Meeting, as we look at today and knowing what we know about our businesses, our customers, and our global reach, this is what we are facing. We ended the year obviously a very strong backlogs, strong order pace in couple of the businesses, but those businesses in my opinion will continue weaken as the year progresses. And it will cause a weaker second half of 2009 then the first half of 2009. If you look overall, we have delivered tremendous performance for our shareholders in the last year... in the last five years. Our businesses and our financial position remain very strong, and we finish 2008 with a record year. The company is well-positioned to move forward and what I call a very uncertain fiscal year 2009. Our global footprint of 54% international, 30% emerging markets will give us the strength to deal with issues that come out of it, and able to help us grow when we get growth. And we have a very good mix of businesses right now. And they will obviously deal with the issues that come out of us. The financial strength of the company is at record levels, extremely strong and we have a flexibility deal with what we need to deal with. The global management team is very good at this point in time and also we'll deal with any issues that come out us. Clearly, we'd loved to have another 2008 coming out to us, with the strong economy, but that's not going to happen. Financial crises as emerge over the last 60 days, has changed the economic environment for all of us, going forward here for at least the next 12 or 18 months. Companies like Emerson need to be flexible, we need to be a react, and we need to deal with what we have to deal with. And that's the fact. Now many of the people do not want to hear this and can handle some of this information, but that is what we're dealing with and within in this company we are operating on a plan to deliver value for our shareholders not only for the short-term, but for the long-term. So that's where we are. I will open up the lines now to take the first question. I appreciate your time, and I look forward to your questions. Question And Answer
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question-and- answer session. [Operator Instructions]. First question will come from the line of Nicole Parent with Credit Suisse. Please go ahead.
Nicole Parent - Credit Suisse: Good morning, Dave.
David N. Farr - Chairman, Chief Executive Officer and President: Good afternoon, Nicole.
Nicole Parent - Credit Suisse: Good afternoon, sorry
David N. Farr - Chairman, Chief Executive Officer and President: That's okay.
Nicole Parent - Credit Suisse: I guess it's pretty clear that things are more challenging from the credit crises macro environment could you give us a sense on where you think you have the best visibility by business and where you think you have the worse visibility and then maybe also give us a sense of backlog versus the third quarter of '08 versus the year ago?
David N. Farr - Chairman, Chief Executive Officer and President: Well we gave you the backlog information in this slide we just gave. So that information is on those slides relative to our process business, industry business and network power business. And those are three businesses you run off the backlog, the rest other business are booked to ship basically. If you look at where our best visibility is, it's clearly in our capital businesses, which have held up very well. And I think they will continue to do well in the first five, six, seven months of 2009. And I believe at that point in time you will start seeing the weakling as companies around the world will slowdown their capital spending. Companies will react and companies already are reacting. If I remember correctly this morning, the number that's came out and sort of capital investment numbers dropped significantly. You will companies reacting very quickly just like we're reacting. Our capital spending numbers have dropped in the last 60 and 90 days internally ourselves. So as I look at the visibility right now, you're looking at process, you're looking at Industrial Automation, you're looking at Network Power, but that visibility is only out four, five, six months. And now I think you're going to start seeing the changing environment. It's very clear to me.
Nicole Parent - Credit Suisse: Okay, and I guess with respect to you kind of quantify the FX benefit or headwind as you look in '09?
David N. Farr - Chairman, Chief Executive Officer and President: It's negative, it's negative.
Nicole Parent - Credit Suisse: Yes, exactly. So I think when you think about the tax rate and when you think about the contribution of international earnings to driving tax rate lower, how do you guys think about for 2009 and beyond as you start to see growth flow overseas?
David N. Farr - Chairman, Chief Executive Officer and President: I think our tax rate was stay around the 31.5% to 32 %. You'll see that a lot of countries around the world are working very aggressive and trying to get tax revenues from people and you're going to see the same thing happening here in the United States. Now there are people in the world that believe the companies like Emerson don't pay their fair share of taxes even though we do pay. Last year we paid over $550 million of federal taxes. So I would expect our federal tax rate to be in the 31.5% to 32% range. And not really change significantly, even those as we mix our businesses around the world, it is the function of what about we see happening.
Nicole Parent - Credit Suisse: Okay. And just one last one, could you flush out a little bit more within network power. What you saw with precision cooling systems, what you saw maybe by Telco... by Telecom when you think about the customer base?
David N. Farr - Chairman, Chief Executive Officer and President: The customer base with the network power on what I would call the network power systems business, the Liebert and the Telecom business was holding up its okay right now. We had a very good fourth quarter, the trends are still okay right now. I would expect them to hold up. Our current forecast is still to have positive growth within that business in 2009, but I would expect that business will tail-off as we start getting into second half of 2009. As I look at what's going to happen around the world you're going to start seeing some of the customers slow down their investments and their order pace. But, right now it's holding up and we had a very strong fourth quarter in that area. The weak areas within the network power would be what I call the embedded power and embedded computing areas, which are much faster adjustments from our customer base, that customers base adjusts within 30 days and 45 days. So I thought it's much faster reacting.
Nicole Parent - Credit Suisse: Great. Thank you.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome.
Operator: Thank you. We'll take the next question from the line of Bob Cornell with Barclays Capital. Please go ahead.
Robert Cornell - Barclays Capital: Yes indeed. Couple of follow up questions, in a couple of the segments you mentioned that there was some margin compression because material cost outstrip price. And I know you've worked really hard to get the price or maybe you can just give us some color about whether the material costs came up more than you thought or whether customers were getting... giving a price pushback, maybe what's are the characteristic of the price cost issues in the couple of days you mentioned it?
David N. Farr - Chairman, Chief Executive Officer and President: We didn't really have any problem in fourth quarter, what we look at is, we price for the material, that material inflation and we get those dollars, but they still hurt your margin because what we look at is we get a sales dollar and we have the cost and effect that we do not cover our margin and that's what's going on. In the fourth quarter you have significant material inflation as a trend went up and then you... so therefore we have lot of price we have a lot of material inflation and that hurt your margin. But, we still collected the dollars that we needed to collect for relative to our material inflation. For the whole year we did very well, our chart was green, and it's still green right now as we look it going forward you are going to also have a negative come in at you in the corporate world. If you look at the material inflation right now, you know, we were talking this year the last time when we talk about 5% net material inflation. I now believe that can be closer to 2% to 2.5%. We had underlying price last year of over 2% that price increases. This year, I think you are going to be now... you're going to be down to right in the low ones. The one 11, 12, 13. So in that standpoint we will have a little bit of a negative impact on our top line and therefore on your growth, because of the pricing. The material prices are still going to be positive and we saw a positive price, but that will less than we thought and it will be less in my opinion than we saw in 2008.
Robert Cornell - Barclays Capital: I know it's early but, you talked about that in three business you have to visibility out there, at the four to six months but then, probably weaker business conditions. I mean, how ways you, should we expect over the overall margins perform in the second half as you start to see some of these weaker business conditions, I mean and what actions as Emerson taking to make sure the margins hold I mean understand this just like I have not the first half that we have but maybe what do you thinking?
David N. Farr - Chairman, Chief Executive Officer and President: Bobfirst of all you remember we set a business model sent to course in 2009 we said this is not a quarter-over-quarter EPS gain. We invest in a long-term for above average growth and we investing technology. So we will protect technology investments and we would protect core investments. And therefore if the second half starts deteriorating you will see some margin degradation. However, we still believe we can run in a 16% range in 2009 even with the slowdown we are talking about. We have taken a lot of actions in the second half of '08 we have done a lot of restructuring a last three years and we are gone have accelerate restructuring in 2009. So we are already taken actions getting ready for what we think is going be a challenging second half and maybe midpoint of 2009. So as I look at right now is not a gain to protect margin is a gain to protect margin it's a gain to protect our long-term investment and create value and leverage that as we go up and when thing returns. And we will be well positioned when it returns growth again, just like we were in 2003, 2004. So, we already know, we've already gone through analysis of what we're going to protect and what programs we are going to stop. And we are taking those actions according today. And there will clearly be people reductions around the world as the volume comes down and there'll be restructuring and taking out the costs that happens to but we ready and we already have the plans in place to do it.
Robert Cornell - Barclays Capital: Just follow-up Dave. What placed on the China and the higher efficiency scroll prospect the million units that sort of thing?
David N. Farr - Chairman, Chief Executive Officer and President: I think it will be delayed for 12 to 18 months. The China government will be looking at certain investments and certain things that they will be protecting all of their production, their jobs, in my opinion these actions will be delayed in 2009 because of that. But we do also know the Chinese I already made a statement they will invest billions and billions of dollars in infrastructure to keep that economy going at certain level. So, I do not expect the Chinese economy because as negative to some people and that hence our GFI forecast was reasonably positive next year because we see the government already going after and making those investments that we are talking, I think you're going to see GFI growing some more 10-15%, 10-12% in China next year.
Robert Cornell - Barclays Capital: Okay. Thanks, David, thank you very much.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome.
Operator: Thank you. We'll move to our next question from the line of Scott David with Morgan Stanley. Please go ahead.
Scott David - Morgan Stanley: Good morning, good afternoon, I guess calls from New York. I applaud you guys on the detail you are given here and conservativeness as well. But the guidance ranges is obviously wide and needs to be exposed given the visibility. But Dave can you talk about what the biggest on the deltas between the high end and low end are, I mean is it emerging markets, is it U.S, Europe?
David N. Farr - Chairman, Chief Executive Officer and President: It's not emerging markets. The pundits out there say the emerging markets are going to crush, wrong. I hope people pull back on emerging markets, because we'll use it for the tax. The biggest out is going to be here in the U.S and Europe, the two largest markets we serve. The U.S economy will continue to weaken and the European economy are already starting to weaken. So those are the biggest deltas and in my opinion you'll see China growth weakening, but still be positive, India growth weaken, but still be positive, Middle-East growth weakening and still be positive and Latin America weakening, but still be positive. Our emerging markets are very heavily infrastructure based. They're not consumer based. So you're going to see the next nine or 12 will be pretty good and then what will happen is the weakening will occur within the U.S and Europe. The other thing you've got a factor and amount of money that we're talking about on the negative currency, $1.1 billion is not a small amount of money. You also need the fact and the fact I just told you what I think is going to happen to price and that will be impacting the top line. So you start looking all these factors, you have a drag on a lot of global industrial companies primarily from the mature markets, not the emerging markets in 2009.
Scott David - Morgan Stanley: Okay, that's clear. Now, Dave, how do you really, you talked about making some small acquisitions in over the next year. I mean how do you really balance your $35 stock, which implied return there is obviously pretty high versus going out, and making acquisitions where particularly the private market multiples don't seem to be at least we're being told pretty unrealistic.
David N. Farr - Chairman, Chief Executive Officer and President: Yes, we bought back $1.1 billion of value of stock last year and we're in route to buy at least $1 billion this year. The what I would call the strategic bolt-on acquisitions that we have been working on and quoting for the last two years, the environment is changing for us right now Scott. It's changing for the global industrial companies like Emerson, and right now our deal flow is accelerated, because these are companies that we've been coding and trying to convince then to sell and now they will come to us. I'd expect to be honest our bolt-on type acquisition will be some more between $500 and $700 million of value, acquisition dollar value acquisition dollar value in 2009. and as we look at the second half of 2009, I think you're going to see us push pretty hard in a couple of what I would call strategic Marquee acquisitions at the same time. In the mean time we will invest on a stock like we have been doing, but as acquisitions gear up, we will try to dial that back down, but my guts right now says we'll probably do about $1 billion of share repurchase and with our $3.3, $3.4, $3.5 billion of operating cash flow we do have flexibility to go back and forth as you know depending on what happens to us.
Scott David - Morgan Stanley: Okay. And just lastly the comments, I mean you made some comments I think certainly about customers adjusting CapEx levels pretty fast, but how about inventory levels with the commodity prices coming down. Is there any feel for maybe customers are moving down to maybe below average inventory levels?
David N. Farr - Chairman, Chief Executive Officer and President: Yes, I think that we haven't seen... I mean the inventory levels, the customer levels are pretty good. However, you're seeing them drop the levels to what you're saying. We are starting to see, its okay, and I will make numbers up here rather than keep $1 million of inventory, we're going to take that down to $800,000, $900,000. So we are seeing that. Now several of our businesses Scott have already been in the recession. If you want to look at the appliance components and the residential businesses we have here they have been in recession in United States for quite sometime. Those businesses are continuing to weaken and you'll see the inventory levels keep coming down, but we... in total the inventory levels of ourselves and our customers are in pretty good shape, but I think you are going to see them dial it back a little bit and my guts tells me you are going to see when we get into December it's going to be very much like December 2001, where lot of customers decide to shut down for a big chunk of December. That's my bet.
Scott David - Morgan Stanley: Thanks guys and good luck.
David N. Farr - Chairman, Chief Executive Officer and President: Okay. Thanks.
Operator: Thank you. We will move to the next question from the line of Deane Dray of Goldman Sachs. Please go ahead.
Deane Dray - Goldman Sachs: Thank you, good afternoon. Dave the very interested to hearing your comments on restructuring there one of the popular things just quarter was companies announcing big one time restructuring charges you are now at your way to point out the phase you go philosophy you did specify $125 million to $150 million for '09. And in two businesses were called out for restructuring climate and in industrial automation, how you are approaching this if you more that you can be doing when do start pulling the trigger to do more and what type of payback are you expecting?
David N. Farr - Chairman, Chief Executive Officer and President: We've already instituted the plans to do $125 million of restructuring with about 29 facilities operation... what I call facility to be kind a broad, could be manufacturing, small manufacturing could be configuration instead of that. These are facilities around the world, we have already pulled the trigger on these. We have been doing these as you know on an ongoing basis it's slowed down a little bit about 18 months ago as our underlying volume that's very high, whereas as we look at the second half of 2008, we actually started accelerating and that's where $70 million came from. So we have right now in place geared up and actually getting as $125 million of restructuring, in the payback typically in these programs are usually around 18 months. Some are short-term some are long, but you looking at some fundamental restructuring of some facilities which could be in high cost locations, which take time and payback a litter bit longer. But, we don't as we don't wait until the variant and it still taking [ph] a big restructuring charge. We have consistently going after this and we have been doing it very aggressively. To be honest I think we will struggle to get much beyond the $125 million and that things really, really, really got really bad out there. And right now so we will do a little bit more abut Mike that tells $125 million is number that will be focusing on that's what's executed that's was started right now.
Deane Dray - Goldman Sachs: Very helpful and then just in terms of the comment maybe it's a bit surprising we may think its coming soon but no cancellations of any sort of size out of backlog. Can you talk about that a bit more are you seeing push outs, what are your customers telling you about their access to credit, are you getting any sort of sunset there is the another shoot of fall soon here?
David N. Farr - Chairman, Chief Executive Officer and President: No. We have not seen any push out what you are going to see is a slowdown of the order paces. And we have not seen any issues of our customers from a financial standpoint. Most of our customers are fairly well capitalized; they have access to credit lines. There has been a little bit, but we watch it little closely. I mean my gut tells me that this will accelerate here in the coming months. It is usual for us to go out right now and give this tough guidance. But you all are trying to guess right now, you're all over the place. So, I thought is really from my prospective and the board's prospective I needed to give little bit of help of what we were seeing from the real business world and not located in New York City, but somewhere in St. Louis, Missouri, so in the Mid West, where we actually make products. And so that's why we did it. My guts tells me that our customers will slow down the order pattern and the economy will come to slowdown period here fairly soon and it's already happening. As I said I think your going to see in December many of our customers who make the decision, we have enough and let's take some really holidays. So, it's not you haven't see you big cancellations but I think you are going to see a slow down of the order pattern and we have not doing push up for you could see push outs in the coming months.
Deane Dray - Goldman Sachs: Great. Thank you.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome.
Operator: Your next question will come from the line of Mike Schneider with Robert W. Baird. Please go ahead.
Michael Schneider - Robert W. Baird: Good afternoon, Dave.
David N. Farr - Chairman, Chief Executive Officer and President: Good afternoon, Michael.
Michael Schneider - Robert W. Baird: Just a quicker focus on industrial automation for a minute. As we try to model this now during the spending recession. If you look back the segment obviously struggled than the last recession it was down 25% in revenue basically peak to trough. Can you give us a sense now as you look at the components of that division what's differences this time that we should anticipate good or bad in that segment is which were the models the next two year in the down side?
David N. Farr - Chairman, Chief Executive Officer and President: Yeah, Mike we are in the recession. The industry automation as you know we have sold some businesses off and we have bought some businesses. The biggest issue that we have to watch here and the still strong demand in backlog is in what I call of the power gen-set area the backup power for the global use of power. The oil and gas industrial used the mining. We have not seen that slowdown here that's a long cycle, in my opinion that will start happening within the next six to nine months. As we look at this we're going into the environment with a little bit different mix of business as much more international has more global footprints and especially in the emerging market. The last time we start as there are emerging market sales and probably earning around 5% to 6%, now it's closer to 17%. My feeling is that this business will trend negative but not nearly the same level as before the only thing you have to know we made the decision during that downturn to also do a lot of restructuring within that business and do a lot of shifting around a capacity. And that created... I would say an externally downward margin. But, it will be in my opinion if you look at 2009, as we leave 2009, we most likely have negative growth and some deleverage, but not the same magnitude that we had last time because we have actually done much better double globalizing and getting the best cost manufacturing since 2001, 2002, 2003 time good. It's still clearly a wildcard from simply you are going to watch that one as you point out.
Michael Schneider - Robert W. Baird: Okay. Then just on that business in total... if you look at this quarter, you post to 7 % organic growth numbers with guidance for fiscal '09 as plus 4 to minus 4. It implies fairly steep erosion as you are go through the four quarters. I'm curious, we haven't seen the October orders yet. But, what do you see in the first few weeks... last few weeks of October and early November here that give you just raise those types of views?
David N. Farr - Chairman, Chief Executive Officer and President: Slowing, that to be honest the GFI that we live right now often six months ago. In my opinion the GFI within the U.S., the GFI within the G7 will start becoming flat or slightly negative as you get into the first couple of months, quarters may to quarter of 2009 on a calendar year basis. But, the order pattern right now in our capital related business is definitely slowing and the consumer has basically stopped all discretionary spending. So, therefore if you look at our consumer related businesses still primarily drilling in the U.S Their order pattern is also slowdown and declined again. So as I look at October and as I look at what come out and looking and thinking about the last time we face this and we face that negative that December time period, I think that's what I'm coming from, I'm using my common business sense and my business experience that have been within Emerson now for almost 28 years, and I did go to the last downturn. And so Walter and I had a feel very comfortable saying, this thing is trending down and that's, you people need to be thinking about what's going to come out and you need to get ready. So, our message is get ready and get positioned, but we have not backed down in investment and technologies new approximately actually increased it again. And that's very important to us. But, it's definitely trending that way even with the current order pass Mike.
Michael Schneider - Robert W. Baird: So, most recently then you've seen a presumably in industrial automation and then again in better power segments network power?
David N. Farr - Chairman, Chief Executive Officer and President: Yes, and also two of your storage, also appliance components.
Michael Schneider - Robert W. Baird: Okay, thank you again.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome.
Operator: Thank you. The next question will come from line of John Baliotti with FTN Midwest Securities. Please go ahead.
David N. Farr - Chairman, Chief Executive Officer and President: Excuse me, really there is only time for two more questions after John. I have to communicate to all of my employees here, but I have time for John and also two more. Go ahead John, sorry.
John Baliotti - FTN Midwest Securities: With respect to process seem some specific end markets that the utilization levels have dropped a little bit is there something that the customer does at that point the difference from what he is been doing you know in term of MRO or projects. Obviously having been very exposed to that business in your past is that, is there any pattern that change when you go from a high growth environment lets say a slower growth environment for those guys?
David N. Farr - Chairman, Chief Executive Officer and President: I think what the first thing that they will change is they'll quickly reevaluate the projects that they had on a drawing board and maybe had gone out incorporate of feed and evaluation during the engineering drawing. So, that will be the first thing they look at it. They've already contracted and started it and got the contract word out there are working, we are going to keep going with that because the cost of staffing is pretty high. But what they can do is quickly look at that they are going to do capacity expansion of the facility somewhere and that's on the drawing board. They are going through feed analysis right now they will stop that. As soon as they see the demand slowing you will see them stop that. You also see them they will slowdown historically when slowdown comes. They will also slowdown their maintenance and repair and the upkeep. We haven't seen that yet, but that typically will come out of this within two or three months... of for sure they know that they are going to be hit with slowdown in demand and capacity needs.
John Baliotti - FTN Midwest Securities: When they saw to [ph] maintain the equipments?
David N. Farr - Chairman, Chief Executive Officer and President: They maintain the equipment but they might do, they might only do partial shut downs versus the full shut down. They will scale back and what they do. They got still have... you can't maintain equipment because things do blow up. But I don't think you can see lot of that impact until the mid to next late next year, that cycle business will be okay for the procurable business future. Then when you have to watch there are new orders and then new orders and the new projects which will more slightly slowdown as the demand flows down for the need for materials around the world.
John Baliotti - FTN Midwest Securities: Okay. Thanks, Dave.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome, John.
Operator: Thank you. We will take the next question form the line of Nigel Coe with Deutsche Bank. Please go ahead.
David N. Farr - Chairman, Chief Executive Officer and President: Hello, Nigel.
Nigel Coe - Deutsche Bank: Yes, good afternoon, Dave.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome.
Nigel Coe - Deutsche Bank: Congratulations on a good quarter.
David N. Farr - Chairman, Chief Executive Officer and President: Thank you very much.
Nigel Coe - Deutsche Bank: Just couple of quick ones here in the past you post that there is a multiply its like two times on GFI growth and emerging market. Do you think that still hold for the next couple of years?
David N. Farr - Chairman, Chief Executive Officer and President: Yes. From my perspective in the whole message I have been giving to our people internally is yes, GFI and emerging markets going to scale down, but the two times is still the focal point for us. And we need to drive that and we will continue to invest those markets. I am really hoping people will pull back. But, I think the emerging markets yes they will slowdown and they are tie to the Europe and U.S, but those infrastructure projects are needed and the covenants will fund those. And as soon as the U.S and the European economy start strengthening whatever that time period it is you are going to see the emerging markets go out along with them pretty quickly. So the global world is not be coupled, you know, there is a whole mode of theory of coupling a year or so ago. If tie together very tightly just look at the financial world and the industry world is the same thing. So you're going to see us moving very quickly just like we are moving our production great footprint as we look and evaluate where the best cost locations are for us to produce products.
Nigel Coe - Deutsche Bank: Yes. And that's confirm my second question on the FX, I mean I understand the negative impact of the top line you've got a huge international footprints specially in emerging markets and therefore I seem that some of that would actually help?
David N. Farr - Chairman, Chief Executive Officer and President: I like it, I like the stronger dollar, we with our global footprint in the restructuring that we have been doing a last three or four years a stronger dollar plays in to our hands.
Nigel Coe - Deutsche Bank: So the five point headwind on the top line is would also be less of the EPS level?
David N. Farr - Chairman, Chief Executive Officer and President: I can't say, It has helped us deleverage less in the downturn underlying volumes. The underlying volumes will decline as base likely economy right now. And so help us deleverage less, help us maintain the 16% operating margin. I mean, that is a very good margin for a company like this. I mean, a lot of companies have to bridge to try get up margins, we actually deliver that margin.
Nigel Coe - Deutsche Bank: I agree. Thanks.
Operator: Thank you. We will take the next question from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn - Oppenheimer & Co.: Under the gun, thanks.
David N. Farr - Chairman, Chief Executive Officer and President: You've got the last one Chris, before I go talk to employees.
Christopher Glynn - Oppenheimer & Co.: It's an honor. Just did comparing the cyclicality from the differences that business and industrial automation. First, the last downturn like to visit that on process by contrast that did very well in the last downturn, we have very different kind of boom in that business has seen this time around?
David N. Farr - Chairman, Chief Executive Officer and President: Yeah, it's a little bit earlier to say how the process will come about you're. I closely believe that long term secular trying to that these investments will continue to have in the energy marketplace. And given where the President gets elected, they're going to be making some investments here and you don't see those investment happening around the world. So, I feel pretty good that the growth will happen in the process world. As you said in last still grow. But we're going to be coming from 8%,10% or 11%, 12%. So, my opinion as we get going next year it'll still be good but the year to that could be either 2%, or 3% type percent growth. So, I think you're going to see reasonable growth but it's going to slow down to under the underlying growth rate of what we say the long-term growth rate factor which is 68% it's going to go down to low single digits, after we get into the cycle which is going to out sometime in 2010, probably.
Christopher Glynn - Oppenheimer & Co.: Okay, and just headlines like the salaries doing a big production cut today as there are the certain number of headlines you still feel like that where we start to get a little more various and what you are talking about right here?
David N. Farr - Chairman, Chief Executive Officer and President: I think like I said earlier, you're going to see the projects which was hardly been set and funded to move forward because they're too costly to stop. What you'll see though and that will be okay for the next 12 or 18 months or 24 months let's say. It's the time after that, when you are start seeing those projects really slow down, so you... in the process world the visibility is pretty good, and so the growth rates played late in probably for the next 18 months. But, it will be slowing. The growth rate will be slowing to be honest.
Christopher Glynn - Oppenheimer & Co.: Okay. Thanks a lot.
David N. Farr - Chairman, Chief Executive Officer and President: You're welcome. And I want to close it. I want to thank everybody for your time. I appreciate it. The one thing I do want to make a comment on I am sorry, I want to made this earlier. Well, I don't give quarterly forecast, but in the first quarter, because you're still out there. Last year... we're going to have higher restructuring in the first quarter, somewhere around $30 million, and last year we had two large asset sales. We sold the joint venture Commercial Cam. We also sold some property, which gave us a significant gain around $80 million, and also we did... we sell books, which is in discontinued ops which have a large gain. So you're going to see a significant loss of other income in our first quarter and also we've got higher deductions for the restructuring. So you need to keep that in mind as we look at the first quarter, go back and look at what we have last year in the first quarter that will now repeat and we'll have more restructuring in the first quarter. Again I want to thank everybody across Emerson. It was a phenomenal 2008 record setting across the Board, a great close, a great fourth quarter, tremendous fourth quarter, high quality, and we're going into 2009 already for very uncertain and challenging year and as employees of this company are ready to go and I appreciate it. Thank you very much. Good night.
Operator: Thank you, management. Ladies and gentlemen, at this time, we will conclude today's teleconference. If you'd like to listen to a replay of the presentation, please dial 1-800-405-2236 or 303-590-3000. We'll be asking and turn [ph] access code of 11120482 followed by the pound sign. Once again, if you'd like to listen to the replay of today's conference, please dial 1-800-405-2236 or 303-590-3000 with the access code of 11120482 followed by the pound sign. ACT thank you for your participation on the conference call. At this time you may now disconnect. And please have a pleasant afternoon. .